Operator: Good day and thank you for standing by. Welcome to the John B. Sanfilippo & Son, Inc. Second Quarter Fiscal 2022 Operating Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded.  I would now like to hand the conference over to Frank Pellegrino, Chief Financial Officer. Please begin, sir.
Frank Pellegrino: Thank you, Norma. Good morning, everyone and welcome to our 2022 second quarter earnings conference call. Thank you for joining us today. On the call with me today is Jeffrey Sanfilippo, our CEO; Jasper Sanfilippo, our COO; and Mike Valentine, our Group President. We may make some forward-looking statements today. These statements are based on our current expectations and involve certain risks and uncertainties that are inherent in our business. The factors that could negatively impact results are explained in various SEC filings that we have made, including Forms 10-K and 10-Q. We encourage you to refer to these filings to learn more about these risks and uncertainties that are inherent in our business. Starting with the income statement; net sales for second quarter of fiscal 2022 increased 8.4% to $253.2 million in comparison to net sales for the second quarter of fiscal 2021 of $233.6 million. The increase in net sales was due to a 6% increase in sales volume which is defined as pounds sold to customers, combined with a 2.3% increase in the weighted average selling price per pound. The increase in weighted average selling price came from a shift in product mix from lower-priced peanuts to higher-priced trail and snack mixes and tree nuts as consumer preferences favored higher-priced products in the current second quarter. Sales volume increased in all three distribution channels in the current second quarter. Sales volume increased 2.2% in the consumer distribution channel, driven by a 7.6% increase in private brand sales volume, primarily from sales volume increases in trail and snack mixes, almonds and mixed nuts, mainly driven by new distribution at existing customers. These increases were partially offset by a decrease in sales volume for private brand peanuts and cashews. Sales volume increases for all branded products with the exception of Fisher snack nuts also contributed to the sales volume increase in the consumer distribution channel. Sales volume in the consumer distribution channel accounted for 75.4% of total sales volume in the current second quarter. Sales volume increased in the commercial ingredients channel by 27.1%, mainly due to a 42.7% increase in sales volume in our foodservice business. The increase in foodservice sales volume was due to improved conditions in the restaurant industry from fewer COVID-19 restrictions as the company's sales volume in this distribution channel began to return to pre-COVID-19 levels. Sales volume increased in the contract packaging distribution channel were 11.4%, primarily due to increased promotional and merchandising activity and increased distribution by a major customer. Looking at sales volume for our branded products in the consumer channel. Sales volume for Fisher recipe nuts increased 9.6% due to increased distribution and merchandising at two existing grocery customers. The 4.1% increase in sales volume for Orchard Valley Harvest was primarily driven by a sales increase at a major customer in the non-food sector as this retailer continues to recover from COVID-19 restrictions and new distribution at an Internet retailer. These gains were partially offset by reduced merchandising activity and item discontinuance at a mass merchandising retailer. Sales volume declined by 45% for Fisher snack nuts due to the discontinuance of our inshell peanut product line which occurred in the fourth quarter of fiscal 2021 and a seasonal rotation at a club store that did not repeat in the current second quarter. The 8.5% increase in sales volume for Southern Style Nuts was primarily driven by increased promotional activity at a club store customer. Net sales for the first two quarters of the current year increased to $479.5 million from $443.8 million for the first two quarters of fiscal 2021. The increase in net sales was primarily attributable to a 9.7% increase in sales volume which was partially offset by a 1.5% decrease in weighted average selling price due to a decline in commodity acquisition costs for all major tree nuts, except cashews. For the first two quarters of fiscal 2022, sales volume increased in all three of our distribution channels. Sales volume increased 7.2% in the consumer distribution channel, primarily from a 13.6% increase in private brand sales volume driven by sales volume increases for trail and snack mixes and mixed nuts, mainly from new distribution and existing customers. These increases were partially offset by decreases in sales volume for private brand peanuts and sales volume for our Fisher snack nuts for the same reasons I cited in the quarterly comparison. Sales volume increased 32% in the commercial ingredients distribution channel, mainly as a result of a 45.2% increase in sales volume in our food service business that occurred for the same reasons I discussed in the quarterly comparison. Sales volume increased in the contract packaging distribution channel by 3.8%, again, for the same reasons I cited in the quarterly comparison which were partially offset by promotional activity by the same customer that did not reoccur in the current year first quarter. Second quarter gross profit decreased by $600,000 or 1.1% and gross profit margin as a percentage of net sales decreased to 20.6% for the second quarter of fiscal 2022 from 22.6% for the second quarter fiscal 2021. The decrease in gross profit and gross profit margin was mainly attributable to manufacturing schedule inefficiencies due to the current supply chain issues and inflationary cost increases, including labor, freight and manufacturing supplies. These were largely -- partially offset by increased sales volume. Gross profit for the first two quarters of the current year increased $11.9 million and gross profit margin as a percentage of net sales increased to 21.7% from 20.8% for the same period last year. The increases in gross profit and gross profit margin in the year-to-date comparison occurred primarily due to lower commodity acquisition costs for all major tree nuts, except cashews and increased sales volume which were partially offset by manufacturing inefficiencies and inflationary cost increases I discussed in the quarterly comparison. Total operating expenses for the current second quarter increased $9 million in the quarterly comparison and total operating expense as a percentage of net sales increased to 13.4% from 10.7% compared to last year's second quarter. The increase in operating expenses were primarily due to a $3 million increase in advertising, consumer insight research and related consulting expenses as we continue to reinvent our brands, an increase in freight expense of $1.9 million due to increased volume and rates and an increase in payroll and payroll-related expenses of $500,000 also contributed to the increase. The prior year second quarter also included an insurance settlement gain of $2.3 million that did not reoccur in the current quarter. Total operating expenses for the current year-to-date period increased $13 million and as a percentage of net sales increased to 12.2% from 10.2% compared to the first two quarters of fiscal 2021. The increase in operating expense was mainly due to the same reasons I cited in the quarterly comparison. The insurance settlement gain that occurred in the second quarter of the prior year was offset by the gain from the sale of our Garysburg, North Carolina facility that occurred in the first quarter of the current fiscal year. Interest expense for the second quarter increased slightly as compared to the second quarter of fiscal 2021 due to higher average short-term debt levels. For the first two quarters of fiscal 2022, interest expense decreased slightly due to a reduction in our weighted average interest rate. Net income was $13.2 million or $1.14 per share diluted for the second quarter of fiscal 2022 compared to $19.9 million or $1.72 per share diluted for the second quarter of fiscal 2021. Net income for the first two quarters of fiscal 2022 was $32.5 million or $2.81 per share diluted compared to net income of $32.7 million or $2.83 per share diluted for the first two quarters of fiscal 2021. Now taking a look at inventory. The total value of inventories on hand at the end of the current second quarter increased to 15% compared to total value of inventories on hand at the end of the second quarter of fiscal 2021. The increase in inventory was due to higher commodity acquisition costs for almost all major tree nuts, peanuts, dry fruit and other raw materials which were partially offset by lower on-hand quantities of inshell pecans and cashews. The weighted average cost per pound of raw nut and dry fruit input stocks on hand at the end of the second quarter of fiscal 2022 increased 24.4% compared to weighted average cost per pound at the end of the second quarter of fiscal 2021. The increase in weighted average cost per pound of raw nut and dry fruit input stock was attributable to higher commodity acquisition costs for most all major input stock items which was offset, in part, by lower quantities on hand of inshell pecans and cashews. I will now turn the call over to Jeffrey Sanfilippo, our CEO, to provide additional comments on our operating results for second quarter of fiscal 2022.
Jeffrey Sanfilippo: Thank you, Frank. Good morning, everyone. I'm pleased to report that we continue to deliver strong net sales and volume growth in this unprecedented operating environment. Coming off a record second quarter in fiscal 2021, the company's performance this quarter was still our third best second quarter ever. We reported sales volume growth in all our distribution channels, a majority of our brands and e-commerce. In addition, our commercial ingredients and contract packaging channels continue to recover from the impact of COVID-19 as sales volume in these channels has approached pre-pandemic levels. However, as many other companies have recently reported, the inefficiencies from supply chain issues, higher-than-anticipated inflationary input costs and labor shortages had a negative impact on our profitability as they outpaced our pricing actions. But our sales and marketing teams have been extremely diligent in implementing necessary pricing actions across our channels and we have completed 90% of those conversations to date. The teams are actively negotiating the balance of our pricing actions with customers. We anticipate these price changes to be completed by the early part of the third quarter which are intended to significantly offset inflationary input costs that we've incurred or expect to incur. Additional pricing action may be required if these inflationary costs exceed our current expectations as we continue to review pricing with our customers on a regular basis. In order to maintain our high service levels and ensure store shelves were stocked during the holiday season, we incurred approximately $1.9 million in temporary incremental payroll costs as we paid an enhanced wage rate to our plant and distribution employees during the holiday season and we paid freight surcharges to ensure our products were delivered on time. Our service levels did not falter in spite of the enormous supply chain headwinds. It is a part of our corporate culture across the organization to take care of our customers and consumers from procurement, to scheduling, to production, to warehousing, to shipping and I'm very grateful and proud of all of our team members who worked long hours to ensure customer orders were satisfied during such a challenging time. From the start of the pandemic, our entire organization came together to keep each other safe while still focusing on building our business. Our teams have not stopped working to drive continuous improvement projects, optimize supply chain efficiencies and maintain best-in-class quality and service levels for our customers and consumers. The management team over the past year has been focused on developing the company's long-term strategic plan for growth. We have invested the time and resources to look at macro trends, consumer insights, competitive activity, the supply chain, retailer strategies, e-commerce and innovation and manufacturing capabilities. Yesterday, we presented the growth priorities and enablers to our Board of Directors. There is more work to be done but there is alignment on the direction and path for JBSS to become a $2 billion business in the future. I will share more in upcoming quarterly earnings calls as we finalize our plans. A few highlights I will mention, we will continue to invest in our brands and customers. As you look at the brand results just announced yesterday, we began to see the impact of our new brand strategy in the current second quarter. We will also continue to grow our private brand and foodservice business which is such an important part of the company's success and the value we provide strategic partners. And we will look at other snack segments to explore potential acquisitions. Environment, social and governance, ESG, was also discussed with our Board. The company has created an ESG task force to expand our efforts and develop formal goals and KPIs. We have already established programs, such as a Diversity, Equity and Inclusion Committee. We are investing in social and environmental programs to improve farming communities in places like Africa for cashews. Our packaging engineering department is working closely with suppliers to develop sustainable packaging materials. Our ESG Committee will now facilitate and support these initiatives. In the upcoming quarters, we will set ambitious targets and communicate them to stockholders once our plans are finalized. The company is in the process of engaging an investor relations firm to assist our outreach efforts to the investor community. The company -- now turning to channel updates. In the consumer channel, the company had a very successful holiday season with Fisher recipe. Our consumer sales and marketing teams are focused on capitalizing on our strong performance and developing programs to expand our distribution for Fisher recipe and assist other retailers with growing their branded baking nut programs. In the commercial ingredient channel, the foodservice team has continued to expand our distribution and gain new locations where our products can be purchased. JBS products today are sold in 20,000 more locations than they were at this time last year and we have multiple products in each of these locations. These include places like vending locations, hotel lobbies, golf courses and mom-and-pop store kiosks where snacks are sold. In the contract packaging channel, we started to see a rebound in volume as consumers began traveling more and the convenience store traffic started to pick up. We also gained a new customer in this channel and shipments have just started. Now turning to category updates; I will share some of the category and brand results with you for the quarter. As always, market information I'll be referring to is IRI-reported data for today as it is for the period ending December 26, 2021. When I refer to Q2, When I'm referring to 13 weeks of the quarter ending December 26, 2021. References to changes in volume or prices are versus the corresponding period one year ago. We look at the category on IRI's total U.S. definition which includes drug, mass, Walmart, military and other outlets, unless otherwise specified. When we discuss pricing, we are referring to average price per pound. Breakouts of the recipe, snack and produce categories are based on our custom definitions developed in conjunction with IRI and the term velocity refers to the sales per points of distribution. The total nut category was up 1% in dollars and flat in pound volume in Q2. This is consistent with the growth rate we saw last quarter. We continue to see strong growth in the trail mix and produce categories, offsetting slight declines in the recipe and snack nut categories. Overall, prices across the category were relatively flat in Q2 versus the prior year, up 0.7%, with some nuts increasing while others declined. Now I will cover each category in a little more depth, starting with recipe nuts. The recipe nut category declined 5% in dollar sales and 4% in pound sales. This is an improvement versus the decline that we saw in Q1. The declines were more pronounced among walnuts than pecans. As a reminder, the category had significant growth throughout the pandemic, driven by more consumers cooking and baking at home. While the category, as expected, is down, levels remain above 2019. Our Fisher brand performed better than the category in Q2, declining only 1% in dollars and pounds. Fisher's performance resulted in a dollar share gain of 0.7 points in Q2, increasing Fisher's branded share leadership in the recipe category. Fisher's performance was driven by strong velocity in the grocery and mass channels. Velocity growth was due to merchandising and increased investment in media, shopper and influencer partnerships. Now let me turn to the snack category. In Q2, the snack category declined 2% in dollar sales and 3% in pound sales. This is relatively consistent with the decline that we saw in Q1. The snack category continues to hold on to most category gains that it experienced during the pandemic. All nut types are showing slight declines, except for cashews which are 1%. Fisher snack did not repeated club rotation this year and declined 18% in dollars and 25% in pound sales at the total outlet level. However, without the club item, Fisher snack continues to grow faster than the category and grow share. The Oven Roasted Never Fried line continued to grow to 32.5% in dollars and 26.5% in pounds, driven by strong distribution and velocity growth. We are seeing strong results in the Oven Roasted Never Fried line across our large sizes as consumers continue to look for better-for-you snacks at a good value. We are focused on continuing to build distribution and drive velocities against this line. The trail and snack mix category grew dollars and pounds in Q2 by 11% and 10%, respectively. This segment continues to accelerate growth as it laps out of modest performance during the pandemic. Our Southern Style Nuts brand declined 2% in dollars and grew 7% in pounds due to higher velocities versus last year in club, offset by velocity declines in mass. Private brands continue to drive the trail mix category growth. Our last category, produce nuts, increased 5% dollar sales and 2% in pound volume sales in Q2. This is slightly lower growth than we saw in Q1 but the growth is still being driven by pistachios which were up 37% in dollars versus last year. Our produce nut brand, Orchard Valley Harvest, was down 6% in dollar sales and 2% in pound sales, driven by lost distribution and aggressive competitive action. The decline was primarily driven by the mass channel. In grocery, Orchard Valley Harvest grew 9% in dollars and 18% in pounds, while we start to activate new merchandising and trade strategies. We continue to be focused on a holistic plan to turn Orchard Valley Harvest with more news coming towards the end of this fiscal year. In closing, there is no doubt these are volatile times with the pandemic, the supply chain, the economy, inflation and a significant shift in consumer behavior but we also see significant opportunities for growth. Our management team and all our associates continue to work hard to expand our business to build stronger brands, to build more innovative product platforms and to provide higher levels of quality and service. JBSS is positioned well for stronger results in the future. We have a dedicated team of leaders throughout the company who are working to do what matters most to consistently deliver strong financial performance. Lastly, I would like to mention that the company is celebrating it's 100th anniversary in business this year. It is a milestone for any company and it is a testament to the dedication, commitment and leadership of every JBSS team member, past, present and future. In honor of our 100th anniversary, JBSS will be ringing the closing bell on NASDAQ on March 14, 2022. It is an exciting time and we are honored to finally have a chance to participate on Wall Street. We appreciate your participation in the call and thank you for your interest in our company. I will now turn the call back over to Frank.
Frank Pellegrino: Thank you, Jeffrey. We will now open the call to questions. Norma, please queue up the first question.
Operator: Thank you.  Our first question comes from Chris McGinnis with Sidoti & Company. Your line is now open.
Chris McGinnis: Yes, good morning. Thanks for taking my questions and nice to see that continued volume growth, especially in the market. Just to start off around volume within consumers, some new customer wins. Can you just talk about what's the driving factor of gaining those customers? And were you in there before and maybe it was disrupted by the pandemic? Can you just talk a little bit about how you're winning the new clients at this point?
Jeffrey Sanfilippo: Sure. Good question, Chris. So it's a combination of things. Number one, we've reorganized our marketing strategies for our brands, really focused on getting better messaging out there, finding consumers where they're looking at messaging. So the increase in velocity, I think, is one of -- a direct result of our change in marketing efforts. So that's increasing velocity. The distribution is a combination of things. We've focused on investing in innovation, consumer insights, so we have better plans to present the right things in the market that we know consumers are looking for and expanding the type of products that we manufacture within our organization. So R&D and innovation has been a critical part of that growth as well.
Chris McGinnis: I appreciate that. And I guess a similar question on foodservice. I think you mentioned in your prepared remarks 20,000 more locations that you weren't in. Was that because those locations were closed during the pandemic? Or is that organic new growth that you're seeing in foodservice -- related to foodservice?
Jeffrey Sanfilippo: Sure. So obviously, during the pandemic, a lot of locations were shut down. But our team, even throughout the pandemic, have worked hard to gain distribution in those locations. So once they opened up again, we had product available for consumers. And so those are 20,000 locations that we weren't in this time last year that are now starting to come back into the market as places open up again. So it is all incremental new business.
Chris McGinnis: Great. And just with the omicron variant, any issues that you're seeing pressure, maybe the sales there, just kind of given the -- just how quickly it came about?
Jeffrey Sanfilippo: It's too early to say. December numbers were still strong throughout the holidays. January will be -- that's when you'll see some of the impact on volume would be, I think, January as a result of Omicron. Obviously, foodservice, not -- it's still growing but not as fast as it was prior to omicron but I think people are still active and still getting out there. So -- but I would expect some results probably in January.
Chris McGinnis: All right. And then I guess just one more question around normalized volumes. How long do you think -- I guess just with the wins that you do have, especially around foodservice, you would expect your trends to be higher than a normalized operating environment versus where they were pre-pandemic. Is that, I guess, correct to think?
Jeffrey Sanfilippo: Yes. I would say that's a fair statement. Like I said, we've gained a lot of new distribution pre-pandemic. I think people want to get out and do things, so I think you'll start to see some of that volume pick up to where it was back in 2019. But the new locations we have and just the new distribution, the new things we're doing with our marketing efforts, I think you should expect to see better volume.
Chris McGinnis: Okay. And when you talk about the $2 billion target longer term, how do you envision that in the sense that how much of it is extensions from the products that maybe you're selling today versus -- I know you've talked about it in the past, new products that you were thinking about maybe entering?
Jeffrey Sanfilippo: Sure. So it's going to be a combination of things. I'll share more as we finalize the plans. It's going to come from our current business. Obviously, private brand is extremely important to the company. We'll continue to invest in building that business. Our brands are extremely important, so expect to see higher level of brand volume come out of that plan to achieve the $2 billion in the future. And then M&A. We've talked about M&A in the past. We're looking at a lot of different exciting categories where there could be opportunities for growth. And I think you'll also continue to see just the growth in the category, in general, plant proteins, the health and wellness initiatives that are going on. I think consumers are really looking to change their diets and to eat healthier. And I think we'll have -- we're in a perfect place to help optimize that.
Chris McGinnis: Right. And I think following the pandemic, I think everyone can probably use that. Just in terms of the consumer insight that you are -- with the studies that you're doing and the extra spend there, -- can you just talk about maybe some of the early benefits that you're seeing? It sounds like it's already translating a little bit sooner than I would have thought. Just what are you seeing there and in the markets, maybe they're opening that -- or the way you're going to market that you didn't do before the study?
Jeffrey Sanfilippo: Sure. So the new consumer insights, we're looking at a broader range of data points just helps us to see gaps that exist in the market today that we can take advantage of, whether it's a product, it's a pack size, it's a consumer trend, it's something that's being discussed online. So it's helping us find opportunities almost in real time as we see them. But I think the bigger piece on the investments we're making in consumer insights is forward developing an innovation pipeline, looking at what people are talking about that are just beginning to be trends today that will become bigger in the future. It's having access to that -- those insights that are going to help us build a stronger innovation pipeline for the future.
Chris McGinnis: Perfect. Great. Can you maybe just discuss the competitive landscape and any changes that you see in the competitive landscape at this point?
Jeffrey Sanfilippo: Yes. So it's been competitive. There's always competitors out there. Obviously, with the Hormel acquisition of planters, they're aggressive. They're trying to build that business, so we expect to see more from them. I think they'll do a nice job with the brand. Private brand competitors has been pretty quiet. I think people these past six months have just been focused on servicing their customers and not doing a lot of new pursuits but always competitive activity but nothing surprising that I can say is a huge impact at this point.
Chris McGinnis: And then I guess, just thinking about gross margin levels at this point. Is this a sustainable level that we're at? Do you expect to see a little bit more of a decline. Can you -- just any color you can provide as we look out?
Jeffrey Sanfilippo: I think from a commodity standpoint, it's still a little bit early to tell. I think we expect -- we saw higher prices in the pecan industry than we anticipated. We're seeing some softening in other commodities, partly a result of declining consumption. I would say almond market, we're potentially going to see some, maybe cashews would be the two. Nothing significant, though, where we would be adjusting prices dramatically. But in addition to that, then you've got the headwinds with labor still being high, raw materials being high, lead times are creating cost aggravations in operations because we're having to build up some inventories, just to keep up with the supply chain. So it's a combination of headwinds and tailwinds.
Chris McGinnis: Yes, yes. No. And just around labor, how would you change your labor practices kind of -- is it simply just increasing pay rates? Is there more training? What's -- obviously, it's a hot topic this quarter for everybody. Just -- can you just provide an update of what you think about the labor market and going forward?
Jasper Sanfilippo: Sure, Chris. This is Jasper. Obviously, it is a very competitive market. One of the big changes that we had to react to this fall were labor shortages which we had to supplement with temporary employees but a lot of it, really, was fixed by just increasing labor rates. The supply chain issues that we talked about, the biggest impact those have is we couldn't run the machines as long as we wanted to because we didn't have all the packaging machine or we had shortages in labor. So we had to move crews from one line to another to make sure that we kept servicing our customers and meeting our demand. We have made investments over the last several years on automation to help reduce some of those headcounts, times where we look at CapEx investments where we want to have a decent financial return. A lot of those investments have been made. Now we're looking at some investments that we have to make in automation just because we're having a very hard time finding labor. And so, I think you're going to see a combination of continuing to pay market rates to get the labor in that we need as well as investing in automation to hopefully keep a cap on the amount of new employees that we need to hire to support our business.
Chris McGinnis: I appreciate that. And I guess just thinking about a deflationary nut environment but increasing labor and freight costs, it sounds like you're doing well with price increases. Just -- can you just talk about that pricing dynamic as you try to go to your customers and pass it in a deflationary price environment for your nuts, though?
Jeffrey Sanfilippo: Well, the costs that we've already passed on were commodities that we purchased prior to any kind of deflationary activity. So all the inventories that we own are at the higher prices. That's the pricing that has been discussed with consumer -- with our customers. And so the deflationary items, we won't see that until probably fourth quarter or even into fiscal 2023. And so that will be the conversations. We have very clear discussions with our customers and very transparent with what's happening with commodities. So as hopefully markets come down at the end of the fourth quarter into fiscal '23, you'll have the same type of pricing conversations with them at that time.
Frank Pellegrino: Chris, this is Frank. As you know, in our consumer channel, we review -- historically, we review pricing every -- on a semiannual basis. So we view pricing in the fall and in the spring. So we've been doing this for a long time and we have a very -- like Jeffrey said, very transparent relationship with our customers.
Chris McGinnis: Okay, great. I think that's it for my questions now. And again, a nice quarter, especially on that volume growth and congrats on 100 years. It's really amazing. So good luck in next quarter.
Frank Pellegrino: Thanks, Chris.
Jeffrey Sanfilippo: Thanks, Chris.
Operator: Thank you.  And I'm currently showing no further questions at this time. I'd like to hand the conference back over to Mr. Frank Pellegrino for any closing remarks. Actually, I have a call -- a question from Tim Call from The Management Company . Your line is open.
Unidentified Analyst: Congratulations on a strong volume growth. To follow on to the last question, you mentioned in your press release that the price increases that you've been planning on should be effective early in the fiscal third quarter. Is that what you're talking about you've been working on for several months and they actually go into effect. And when we see the next quarterly report, we should be able to note that in the numbers. Is that correct?
Jeffrey Sanfilippo: That's correct, yes. Conversations started...
Unidentified Analyst: And then...
Jeffrey Sanfilippo: I'm sorry. Yes, I was going to say conversations started as we saw these commodities and cost changes but a lot of those cost increases go into effect after -- anywhere from January 6 to beginning of March, so you'll start to see those numbers reflected in the Q3 report.
Unidentified Analyst: And in your press release, you said you began to see the impact of the new brand strategy. Can you highlight a couple of instances where you've seen that impact? Is it in that volume number? Or do you have any specific examples where you've seen some early signs of payoff.
Jeffrey Sanfilippo: Sure. So if you look at the Fisher -- the recipe category was down 4%. Fisher was only down 1%, so we did better than the category. We gained market share. And one of the reasons that we've done really well is we've invested in bringing consumers to the recipe, the baking category. We focused on trying to bring millennials and Gen Z consumers to the category, educate them about our marketing efforts to teach them how to use nuts as an ingredient, reach places where they're currently looking for content for their brand purchases. And so that's a good example of where we've invested. We've changed our marketing strategy. We looked at consumer insights and tapped into how can we bring consumers to that category and grow our brand and grow the retailers segment. So I would say that's a perfect example of how the changes we've made in our marketing efforts and sales efforts are starting to pay off and we saw that this holiday season.
Unidentified Analyst: As you come out with new varieties or new packages and the distribution, does that mean you have to add a lot of infrastructure? Or do you have excess capacity you can utilize now for those new variations?
Jasper Sanfilippo: Yes, Tim. This is Jasper. We do have excess capacity. We do get a little tight on warehousing storage during the fall but everything that we have in the pipeline now will currently run on our existing equipment. I know part of our long-range plan, there are different technologies that we'll have to explore. But currently, for fiscal '23, we do not see any issues with additional capacity.
Unidentified Analyst: And some of the expense that you incurred with the holiday rush to get product out in time, you don't expect to have that in the next three quarters. Is that correct?
Jasper Sanfilippo: That's correct.
Unidentified Analyst: Congratulations again on a continuous volume growth; that's terrific.
Jasper Sanfilippo: Thank you.
Jeffrey Sanfilippo: Appreciate it. Thanks.
Operator: Thank you. And I'm currently showing no further questions at this time. I'll hand the conference back over to Frank Pellegrino for closing remarks.
Frank Pellegrino: Thanks, Norma. Again, thank you for your interest in JBSS. This concludes the call of our second quarter fiscal 2022 operating results.
Operator: This concludes the conference call. You may now disconnect. Everyone, have a wonderful day.